Operator: Good morning. My name is Jane and I will be your conference operator today. At this time I would like to welcome everyone to the Edison International second quarter 2009 financial teleconference. (Operator Instructions) Today’s call is being recorded. I’d now like to turn the call over to Mr. Scott Cunningham, Vice President of Investor Relations. Thank you, Mr. Cunningham. You may begin your conference.
Scott Cunningham: Thanks, Jane, and good morning everyone. Our principal speakers today will be Ted Craver, Chairman and CEO and Jim Scilacci, our Chief Financial Officer. Also with us to participate in the Q&A session are other members of the management team. The presentation that accompanies Jim’s financial review together with your earnings press release and our second quarter 10-Q filings are available on our website at www.edisoninvestor.com. During this call we will make forward-looking statements about the financial outlook for Edison International and its subsidiaries, and about other future events. Actual results could differ materially from current expectations. Important factors that could cause different results are set forth in our second quarter 10-Q and other SEC filings. We encourage you to read these carefully. The presentation also includes additional information, including certain outlook assumptions, as well as reconciliation of non-GAAP measures to the nearest GAAP financial measure. With that I’ll turn the call over to Ted Craver.
Theodore F. Craver: Thank you, Scott, and good morning everyone. Due mainly to a consolidated after tax earnings charge of $0.81 per share, associated with our global tax settlement with the IRS, we are reporting a second quarter loss of $0.05 per share. Core earnings were $0.78 per share, a penny less than last year’s second quarter per share results. We’re also reaffirming our core earnings guidance range for the year at $2.90 to $3.20 per share. At the beginning of the year we identified three major business imperatives to be successful, financial discipline, superior execution and developing innovative approaches. I’m going to review several items that we believe represent noteworthy progress on some important milestones under these priorities. A key goal has been to insure we have strong liquidity. Finalizing the global tax settlement was critical in that it improved our cash position and removed a major uncertainty for investors. The settlement will be a significant positive cash event for EIX in total, which was the primary objective for us. Liquidity was enhanced from the first quarter, primarily due to the cash infusion from terminating the cross-border leases as part of the global tax settlement, particularly at SCE. Southern California Edison expects to use these funds to support its large capital investment plan to improve system reliability and customer service. Another goal for this year was to reduce the near term cash outlays at EMG, particularly with regard to its turbine commitments. We are in the process of converting non-binding letter agreements into definitive agreements with two wind turbine manufacturers, which will provide EMG with a form of financing. If executed, these agreements would significantly defer EMG’s payments for wind turbines over the next three years. Obtaining project financing at EMG for part of its operating renewables projects was a key objective we identified for you during our last call. The non-recourse project financing market has been challenging since last year, but in a sign that that market is beginning to thaw, in June EME completed a $207 million project financing of its interest in the Wildorado, San Juan Mesa and Elkhorn Ridge wind projects. This is significant beyond the obvious immediate benefit to liquidity. Over the last several years we have taken the excess free cash flow created by the coal fleet and used it to 100% equity finance the development of EMG’s renewables business, some 25 projects. The project financing of three of those projects in EMG’s wind fleet represents the first step to monetizing those assets. About two-thirds of the projects in the wind fleet are still 100% equity financed, and therefore available for other project financings in the future. The proceeds from the financings are available for further renewables development. At SCE, we have been closely watching the index calculation under our current cost of capital arrangement. To remind everyone, in September of last year the Commission approved SCE’s cost of capital filing, which allows for a potential annual adjustment in our rate of return if certain interest rate index thresholds are reached. This framework remains in place through 2010. We intend to file a petition to modify this mechanism next week. What we are proposing is that we forego an expected increase in our rate of return in 2010 under the annual adjustment provision, but extend the cost of capital framework for an additional two years to 2012 with the same index annual adjustment provision. We believe there is value in extending the cost of capital mechanism for an additional two years, which provides important stability and predictability for both our customers and for our investors. There was extraordinary interest rate volatility last year and early this year. However, that volatility has moderated dramatically in the last few months, making the index calculation under the cost of capital mechanism look more like an excursion and difficult to interpret. We believe it is prudent to build in more time to determine the real underlying trend in the cost of capital and our rate of return. In June, 2009, the CPUC approved SCE’s program to develop 250 megawatts of solar generating capacity on commercial and industrial rooftops across southern California, using state of the art photovoltaic technology. The Commission’s decision also provided that SCE solicit power purchase agreements from independent power producers for an additional 250 megawatts. SCE has begun construction of its second installation of what will eventually be about 150 sites. The commercial rooftop solar program with 1 to 2 megawatts per installation, connected directly into the distribution system, fills the gap between the much smaller distributed residential rooftop installations and the very large megawatt installations requiring new transmission to be built. Regarding EMG’s wind and solar programs, in July we have completed construction of the 100 megawatt High Lonesome project in New Mexico, bringing our total portfolio of actual operating wind projects to 1,185 megawatts. EMG’s development teams are pursuing power purchasing agreements to enable the placement of the turbines under our existing turbine commitments, the build out of our 5,000 megawatt pipeline of projects, and future project financings. On the solar side, we continue to push forward the development activities we have underway at 30 potential sites in six different southwestern states. The coal fleet at EMG represents our greatest challenge, and the largest uncertainty for investors in EIX. We must develop innovative approaches to several environmental compliance challenges if we are to be successful. If we are to be successful, it represents the greatest upside potential for the company. The EMG team has been working hard to identify less costly, more efficient approaches to meet our environmental requirements for oxygen and SO2 emission productions. Also, we have been quite active in efforts to encourage adoption at the national level of fair and reasonable energy policy, particularly climate change and carbon policies, which will have a great impact on both EMG and SCE. Let me update you on the testing and analysis we have been performing at Midwest Generation during the second quarter. Although no decision has yet been made, our preliminary conclusions show that installation of selective, non-catalytic NOx removal technologies in lieu of selective catalytic removal technologies, hold promising possibilities to meet the NOx portion of our Illinois compliance requirements with significant cost savings. Testing of flue gas desulfurization equipment, based on dry sodium sorbent injection technology, has demonstrated significant reductions in SO2 but we want to conduct further analysis and evaluation before we finally decide on the best path to comply with SO2 emission requirements. We want to be sure that the technologies we embrace are sustainable and durable from an engineering, economic and regulatory standpoint. Regarding climate change, I want to reinforce that Edison International supports efforts to achieve responsible and fair legislation. It is critical for the country and the electric power industry to obtain certainty and predictability on how we are going to deal with this critical challenge. Huge investments need to be made in electric infrastructure to move the country to a more efficient, reliable and sustainable electric system. We need greater certainty and predictability in order to make those massive investments, and provide a reliable and affordable electric service to our customers. We believe the American Clean Energy and Security Act of 2009, also known as the Waxman-Markey Bill which passed the House, can do this. In particular, we support the feature of the bill that provides emission allocations to local distribution companies and merchant coal generators during a transition period so as to mitigate economic hardship for customers and businesses as the country moves towards a much reduced carbon emissions profile. In sum, I believe so far this year that Edison International has made substantial progress on a number of fronts. At Southern California Edison, we have a strong utility, executing the largest capital investment program in its history while maintaining its leadership position in renewable programs, energy efficiency, electric transportation and smart grid technologies. At Edison Emission Group we believe there is significant unrecognized opportunity to create value by adroitly managing the operating, environmental and strategic challenges of the merchant coal fleet while continuing to develop its expanded renewables business. In short, I believe Edison International is positioned to achieve its growth potential and provide sustained value to its shareholders. With that, I’d like to turn it over to Jim Scilacci.
W. James Scilacci Jr.: Okay. Thank you, Ted, and good morning everyone. Today I will discuss the following items, second quarter and year-to-date financial results, operating performance and hedged position of our merchant coal fleet, earnings and expected cash impacts of our global settlement with the Internal Revenue Service and related termination of our cross-border leases, our liquidity position and updated earnings guidance. The recording of the global tax settlement and termination of Ed Cap’s cross-border leases adds a level of complexity to the financial statements. As a result, I think it would be helpful to step back and provide a high level overview. Last March when we provided initial 2009 guidance, we said that lower expected core earnings at Midwest Gen, Edison Capital and the big four projects would offset earnings growth at SCE and cause EIX’s earnings to fall below 2008. As I will discuss in more detail later, the trend in earnings as set forth last March is occurring. Now for the overview. SCE is realizing higher earnings from its growing rate base authorized in the 2009 general rate case. The utility is still ramping up O&M spending to authorized levels, so we are seeing timing differences temporarily affect earnings. We would expect that spending will catch up with authorized levels as we progress through the year. Through June 30, capital expenditures are lower than our base case estimate, but we would also expect to catch up a significant portion of the under spend by year end 2009. Power prices in the PGM market are significantly below last year, driven by a number of factors including lower natural gas prices and reduced demand. In addition, our merchant coal fleet is experiencing higher environmental costs given new requirements this year for annual NOx allowances and mercury controls. EME has worked hard to improve unit availability at Midwest Gen in Homer City to capture gross margin, as well as reduce spending and outage related costs to partially offset lower gross margins. Through June 30, EMG’s trading revenues are $27 million pretax compared to $92 million last year. Overall we are seeing lower transmission congestion revenues driven by lower electrical loads and market prices. We are also seeing lower earnings at the big four projects, primarily from lower natural gas prices affecting electricity and steam revenues under their current contracts. Lastly, Edison Capital’s earnings are lower from terminating the cross-border leases, selling lease interests in the Midland-Cogeneration Venture and the Beaver Valley Nuclear Plants, and the continuing roll off of our continuing investments in the global infrastructure funds. With this overview, I will now turn to some of the more important details. As shown on Page 2, for the second quarter of 2009 EIX reported a GAAP loss of $0.05 per share compared to an earnings of $0.79 in the same period last year. Recognition of the global tax settlement and related termination of the cross-border leases at Ed Cap represent $0.81 of the earnings difference. Later in my presentation, I will take you through the earnings and cash impacts of the global settlement. Setting aside the global tax settlement, lease terminations and other non-core items, EIX’s core earnings came in at $0.78 in the second quarter or $0.01 lower than the second quarter of 2008. As shown on Page 3 of the deck, SCE earned $0.61 per share during the second quarter of 2009 compared to $0.48 last year. Their earnings increase is primarily driven by higher operating income authorized from our 2009 general rate case decision. Included in the higher operating income is $0.06 of timing differences as SCE continues to ramp up O&M spending to CPUC authorized levels. EMG earned $0.19 during the second quarter of 2009 compared to $0.34 last year. The primary changes are lower earnings at Midwest Gen $0.07, EMMT $0.06, Ed Cap $0.06, and the big our projects $0.03, which together more than offset the earnings at Homer City, $0.11. On a quarter over quarter basis, FAS 133 unrealized gains are $0.06 per share from the non-qualifying hedge contracts and ineffective portion of cash flow hedges. During the second quarter of 2009, Ed Cap also sold its lease interest in Midland Cogeneration Venture for a gain of $0.06. In the second quarter of 2008, Ed Cap also had a $0.07 gain from the sale if its lease interest in Beaver Valley. Both of these are included in core earnings. With the termination of cross-border leases, the Midland Cogeneration Venture, Ed Cap’s investment portfolio has substantially rolled off. At June 30 the book value of Ed Cap’s remaining gross investment in leverage leases, global infrastructure funds and affordable housing is about $200 million. The parent company, core losses are slightly lower than last year after adjusting for the impact of the global settlement. Historic for the year-to-date performance is similar to the second quarter. Turning to the Page 4, you can see that Edison International reported GAAP earnings of $0.72 per share for the first six months ending June 30 compared to $1.70 per share for the same period last year. Excluding the impacts of the overall tax settlement and discontinued operations, core earnings for the first six months of 2009 were $1.58 per share compared to $1.72 per share in the same period in 2008. Details for the year-to-date core earnings are shown on Page 5. At EIX’s operating companies, SCE earned $1.25 per share or $0.31 ahead of last year, EMG earned $0.37 per share compared to $0.84 last year and the parent company core loss was $0.04 compared to $0.06 last year. The primary factors driving these changes are similar to the quarterly explanations. Pages 6 and 7 provide key operating stats for Midwest Generation and Homer City. These statistics tell a story of improving fleet, about fleet availability and lower core [sattage] rates. EME’s management has focused considerable time and funds to address elevated levels of boiler tube leaks and to improve performance of critical equipment by increasing spare part inventories and maintenance of critical equipment. These efforts are now showing in overall improved operating performance. Turning now to Page 8, you can see Midwest Generation’s and Homer City’s capacity hedges as of June 30. We have updated the format of this page to better reflect the adjustments to net capacity positions that occur periodically. We also updated the chart to reflect the recent PJM capacity market auction for the 2012-2013 period. The clearing price for the rest of market region where Midwest Generation units are located is down substantially from last year, primarily from the impacts of the demand side management resources. Homer City is located outside of rest of the market region and had a clearing price above the previous year. On Page 9 we provide Midwest Gen and Homer City’s energy and coal hedges. Our hedge position changed very little during the quarter, but subject went to June 30, Midwest Generation entered into an agreement to purchase significant quantities of coal for deliveries in 2010, ’11 and ’12. These new contracts bring our total coal hedges at Midwest Generation to 17.1 million tons in 2010 and 9.8 million tons in 2011, and 9.8 million tons in 2012. On Page 10 provides a summary of the earnings and cash impact of the global tax settlement. Overall, the global settlement is very complex, covering over 100 disputes and issues and affirmative claims dating as far back as 1986. Last quarter we gave you expected earnings ranges from the global settlement and termination of the cross-border leases. In the second quarter financials we now show specific earnings and cash impacts for SCE, Edison Capital and EIX Holding Company plus all other subsidiaries. On a net net net basis, EIX recorded a consolidated after tax charge of $274 million or $0.85 per share through the second quarter of 2009 for the global settlement. The majority of the charge was recorded in second quarter, but we did take an $11 million after tax charge during the first quarter for terminating two of Edison Capital’s smaller, cross-border leases. On Page 10 is an overview of the non-core earnings impact by company. At SCE we recorded a $300 million after tax benefit, primarily related to estimated federal and state tax timing differences and related interest income on certain, significant affirmative claims. At Edison Capital, results include a $628 million after tax charge from terminating its cross-border leases and impacts of the global settlement. At the parent company and other EIX affiliates, results include a $54 million after tax benefit, primarily from recording certain state tax benefits. Moving to the lower portion of Page 10, the estimated consolidated cash benefits from the global settlement and termination of the cross-border leases is $380 million over time. From a high level perspective, termination of the Edison Capital cross-border leases and receipt of the associated collateral provided $1.385 billion. These funds are the primary source of cash for paying EIX’s tax obligations under the global settlement. Because of affirmative claims at SCE and timing and tax years, Edison Capital flowed cash under the tax allocation agreements to EIX. A portion of the proceeds then were paid to the IRS and state tax authorities and significant amounts flowed to SCE, based on its affirmative claims and timing of the tax payments. However, as we finalize open tax years, funds will flow from SCE and Edison Capital to EIX and ultimately to the federal and state tax authorities as shown on the chart. The chart shows a net cash benefit of $640 million at SCE which will occur over the next two years. This cash arises from a couple of primary sources including refunds and associated interest income on income taxes paid to the IRS that were never included in customer rates, refunds and associated interest from a long ago period that are closed for rate making, and thirdly return prior tax deposits. We will use this cash as Ted said to help fund SCE’s construction program. The settlement also involves tax timing differences which will increase deferred taxes, lowering rate base and related revenues in future years. The lower rate base is incorporated within a range of tax rate based estimates as shown on Page 17 of the investor materials. The numbers booked for the global settlement reflect our best estimates. We are now in the process of addressing the impacts of the IRS settlement with state tax authorities, primarily the California Franchise Tax Board. Final determination of the interest due on the global settlement and state tax issues will take time and if there are any adjustments to our estimates, they will flow through non-core earnings. The global settlement affects cash and liquidity in our businesses. Page 11 provides the overview of liquidity. As you can see, during the second quarter SCE substantially paid down its short term borrowings under its credit facility. EME and Midwest Generation continued to hold significant cash from previous draws under their lines. We have now broken out Edison Capital separately to show the impacts of the global settlement. As you are aware, EME’s credit ratings were recently downgraded by both Moody’s and S&P. The rating agencies raised a number of concerns including the duration of the current economic downturn, its impact on the overall market, natural gas prices and the coal fleet environmental capital and renewable growth programs. However, as Ted mentioned in his comments, we are making progress on some key issues that effect EME’s future commitments, liquidity and financial metrics. As Ted went through, first and third quarter we expect to record significant deferrals in our wind turbine commitments. Next, in June we completed the first non-recourse financing, raising $207 million from a consortium of largely foreign banks to provide initial leverage for our wind fleet. [Inaudible] financing also supports the funds flow available for interest ratio, which is recorded quarterly to EME’s banks as part of our required covenant calculations. As of June 30, the ratio was 2.22 compared to 1.59 last quarter. Our cash flow and credit metrics may also be aided from future tax benefits for projects placed in service this year. EME is initially planning to use income tax credits or ITCs for its Time Lonesome project and Goat Wind project. This provides immediate cash benefits. In the future, while the earnings benefits are recorded over time under the deferral accounting method, we still have the option to pursue cash grants in lieu of credits as we evaluate the regulations that were recently released. The final topic in our 2009 earnings guidance on Page 12. This morning we updated our 2009 GAAP earnings guidance to reflect the year-to-date earnings impact of the Edison Capital lease termination and IRS global settlement, together with year-to-date losses from discontinued operations. Included in non-core items is a $0.14 per share gain to reflect the transfer of SCE’s Mountainview Power Plant to cost of service remaking, effective July 1, 2009. Excluding non-core items we have reaffirmed our core earnings guidance at the prior range of $2.90 to $3.20 per share, with a mid-point of $3.05. As a reminder, the summer months are important from an earnings perspective for both EMG and SCE. We do expect some of the $0.12 in year-to-date O&M timing differences at SCE to reverse during this period. Okay, that completes my second quarter review. Operator, we’ll now open it up for Q&A.
Operator: Thank you. (Operator Instructions) Your first question comes from Hugh Wynne - Sanford Bernstein.
Hugh Wynne - Sanford Bernstein: We just wanted to ask some operational questions regarding Midwest Generation. The marked improvement in availability in Homer City, which had a big impact on earnings, how best to think about that in future? Have we reached a higher level of availability due to these higher parts inventories and preventive maintenance? Or is availability more likely at Homer City to fluctuate up and down as problems recur with the boiler tubes?
W. James Scilacci Jr.: Hugh, this is Jim Scilacci. I’ll give you some additional comments, and then I’ll throw it over to Ron Litzinger for additional details. I would tell you that in 2008, the level of availability was down substantially. I think it was well below what we would expect from that plant going forward, and because we focused very keenly over the last couple of years on reducing boiler tube leaks, and that was the major part of the difference that we’ve seen now, that the tube leaks are down and the focus on the critical spare parts is also helping. So I’ll stop there and throw it over to Ron if you want to add some further details.
Ronald L. Litzinger: The boiler tube leaks were focused primarily on doing better inspections during our planned outages and doing preventive type replacements in advance. That’s what we think is causing the uptick. There are some components within the boilers that still require replacement that we’re scheduling in future years. We do try and maintain our forced outage rates within a range. We’ve gone from the low end of the range to the upper end of the range and our intent with our current improvement effort is to try and keep it in the upper end of the range.
Hugh Wynne - Sanford Bernstein: I also wanted to ask about the load factor at Midwest Generation. It seems like you had a modest improvement going from the winter to the spring months, which one might not have expected given that you’ve moved into a shoulder period of the year. Is that reflective of any discernible market trend, improvement in demand or is it more just of a coincidence?
W. James Scilacci Jr.: I’ll let Ron handle that.
Ronald L. Litzinger: Yes. In the second quarter we saw nuclear being the market clearing price during the off peak hours, go down initially in the first part of the second quarter. It did come back towards the end of the quarter but that was the primary driver.
Hugh Wynne - Sanford Bernstein: Of the higher load factor?
Ronald L. Litzinger: The load factor came up in the second quarter because we were having less off peak hours. We had less off peak hours at negative margins.
Hugh Wynne - Sanford Bernstein: And then this last thing, the environmental technologies that you guys are exploring, is it possible to provide three or four more sentences there in terms of what those technologies are and the prospects seem to be?
Theodore F. Craver: On the NOx side we’re focused primarily on the NCR, the non-catalytic reduction as opposed to the more expensive catalytic reduction. We think that we can comply with all of the rates using that technology across the fleet. And the other thing that we’ve done is combustion tuning on our units to make that possible. And then on the SO2 side we’re using sodium sorbent as a injection technology to remove the SO2. It’s a technology that’s been around for 30 or 40 years, sort of fell by the wayside but has come into much more focus recently, especially for folks that operate units with low sulfur coal because it seems to be a better economic solution for those types of units.
Operator: Your next question comes from [Kit Conwidge] – Soleil.
[Kit Conwidge] – Soleil: Can you give us a little insight into, I know broadly speaking at least when I speak broadly to people I think know even less than me, I say that EMMT is affected by congestion. And we’ve heard from a number of companies that congestion in that region, PJM, is way down and I assume, I think I’ve been told, that that congestion is correlated with economic activity, with the amount of electricity going there obviously. So can you give us some sense of not just congestion in EMMT but EMMT overall and where you’re running at, certainly at the low end of what so far, but the third quarter’s big of what you had indicated. Can you give us some sense of how EMMT is approaching things and what, you know, maybe not only this year but next year might look like?
W. James Scilacci Jr.: Okay, Kit, this is Jim Scilacci. In the trading business we like to think about EMMT being a niche business and its principal products are trading capacity congestion. And just stepping back, the way this typically works in these auctions for the ISOs that we participate in, mostly in the East, is that they have either quarterly or annual auctions. So a lot of the auctions that occurred, occurred when prices were much higher, when you bought the original congestion contracts. And so you pay typically a fixed amount of money and you get the right to receive the congestion revenues over time. And to the extent that you participated in those auctions last year, when prices were higher, you paid more for those contracts and prices have now declined so you’re just not making as much money as you historically have done. And so now you go back and reset the bar for your congestion contracts, your FTRs or CRs or whatever ISO it is, and now you pay a lot less for them and hopefully you’ll make money going forward. And that remains to be seen. So we typically do these auctions in the late spring of the year, and so now they have been reset. So to be able to predict going forward what actually has happened, I think is a tough thing to do. There are a lot of factors that go into that. But I think the most important part is that what you pay for congestion when you buy the new [FCRs] is a lot less than you did a year ago. So I’ll stop there and throw it over to Ron and see if he wants to add anything further.
Ronald L. Litzinger: Not really much more to add. As we went into this year, we expected lower congestion given the economic recession, and lower demand produces the volume of congestion, and then lower power prices depending on, you know, what fuel is clearing the market at the various hubs can be critical spread between the hubs. And as Jim mentioned that reduced the earnings we had on congestion rights that we had bought in previous auctions. The annual auctions within PJM occurred at the late end of the second quarter and we will see how our results are going forward now that we have purchased those rights, with these economics taken into account.
Theodore F. Craver: Kit, this is Ted Craver. I want to add just one other piece. The whole reason for having EMMT and that activity is fundamentally to manage our merchant coal exposures. And that’s why we acquired Citizens Power some years ago. And that really remains its fundamental job. Secondarily, as we manage that merchant exposure we from time to time see opportunities for additional profit through proprietary trading, but that is very much a secondary objective for that group. So again its primary purpose is to manage the merchant exposures from the assets.
[Kit Conwidge] – Soleil: Well, I understand that, but it does get reported as earnings so obviously people pay attention to it that way. How about the, if there’s less congestion and less crowding on the wires, so you’re losing money compared to a more robust marketplace would be providing, does that also effect but hopefully in a more positive way your basis to the PJM hub?
W. James Scilacci Jr.: Our basis is at Homer City, that the Homer City units experience is down. The comparison of the Homer City [bus bar] to the PJM west hub is reduced.
Operator: Your next question comes from Greg Gordon - Morgan Stanley.
Greg Gordon - Morgan Stanley: Just to review what you explained on the tax settlement, did you say the $640 million of cash flows back to SCE over the next two years? Or did you say over the next few years? It wasn’t clear.
W. James Scilacci Jr.: Right now if you go to the chart on Page 10, on the SCE column, some money flowed into Southern California Edison so we’re at the 875 level as of June 30. And over the next few years money will flow out, the 235, as additional tax payments are made to the taxing authorities. And we’ll end up at 649.
Greg Gordon - Morgan Stanley: So you said “a few” not “two”. I just wanted to be clear on that.
W. James Scilacci Jr.: Over the next few years is what I said.
Greg Gordon - Morgan Stanley: And then you indicated that this cash is related to prior rate making years that have been closed for rate making purposes, or tax items that were not essentially in customer bills in the first place. Correct?
W. James Scilacci Jr.: Correct. And refunds.
Greg Gordon - Morgan Stanley: Now at Edison Capital you said the money also flows out over the next few years. You know over what time frame is that $765 million flowing out, is it?
W. James Scilacci Jr.: It’s principally the same time frame.
Greg Gordon - Morgan Stanley: Now I looked at your rate base forecast and your CapEx forecast in today’s presentation versus your business outlook presentation from March, and the rate base numbers are lower as you go out through time, even though CapEx is modestly higher. So I’m assuming that’s a function of taking into account the deferred tax impact of the settlement?
W. James Scilacci Jr.: There’s some other minor changes to go on. There’s both plus and minus. What goes up, I think we’ve now reflected the solar panel program, solar rooftop program at the 250 megawatt level. I think we’ve adjusted it down, based on a proposed decision since we last talked. And we’ve also adjusted downward for DPD2, because what’s happened with DPD2 we dropped off the Arizona portion of it, and that had an impact. And I think there was also a timing change associated with DPD2.
Greg Gordon - Morgan Stanley: By the time you get out to 2013, the numbers are substantively the same but they’re lower in the early years, ’12 and ’11, by $700 million in the high case. Correct?
Ronald L. Litzinger: Yes, and what’s happening is you’re seeing a shifting out in time of some of the transmission related activities.
Greg Gordon - Morgan Stanley: Shifting to the ITC commentary, you said there were two wind projects where you would be taking ITC treatment but that you would not book the earnings associated with bringing in that up front cash. Rather I guess your accountants have told you that you can book that earnings over time.
Ronald L. Litzinger: No, they’re, go ahead and finish your question.
Greg Gordon - Morgan Stanley: Other companies that are in the wind power business have indicated that they would be taking those earnings up front. So can you differentiate the accounting treatment you’re intending to use versus the ones we’ve heard other people saying they’re going to use?
W. James Scilacci Jr.: Just so I’m clear. What we have done so far, so we can clarify. What we have done is initially through the end of the second quarter is elected the ITC for the two projects that completed construction. We still have the option to elect a cash grant. We did not elect a cash grant initially because we didn’t know what the rules were going to be. And it’s likely that we will move to the cash grant, but we’re still looking at that. There are two accounting methods that you can use, a flow through or a deferral. We have elected for the ITC and we will likely use if we go to a cash grant the deferral method, because the company has consistently used that approach. It’s an accounting policy choice and we think from consistency it’s best to use the deferral method for our company.
Greg Gordon - Morgan Stanley: So basically flow through equals book the earnings as the cash comes in and deferral means book the earnings over time as you generate megawatt hours.
W. James Scilacci Jr.: Yes. From a cash perspective, no difference. From an earnings perspective, flow through has a little higher up front earnings.
Greg Gordon - Morgan Stanley: Are you now basically implying that you’ll be at the low end of guidance range for EMMT? I mean you’ve only earned $27 million for the first half.
W. James Scilacci Jr.: You can see we’re actually [writing] at the actual earnings at the lower end. I think we’ve updated the guidance chart in our deck, so we’ve lowered the range from, I think we initially had.
Theodore F. Craver: Fifteen-hundred and fifty million and we’ve updated $50 to $100 million.
W. James Scilacci Jr.: So that’s $50 to $100, so we did drop the top to reflect the lower expected activity.
Theodore F. Craver: And if I can add, Greg, we also updated to reflect also the benefit from the MCV sale in EMG which was not in our original guidance.
Operator: Your next question comes from Michael Lapides - Goldman Sachs.
Michael Lapides - Goldman Sachs: Hey guys, on the hedging that you’ve done and the procurement of coal that you’ve done at Midwest Generation, can you talk about the matching of power and coal procurement or your gas hedging and coal procurement?
Theodore F. Craver: Generally we do like to keep our hedges to the extent the inputs so that’s coal, coal transportation and emissions, lines up with forward sales. You know we’ve had a view consistently over the last couple of quarters that we didn’t want to lock in our coal position because we felt prices were going to come down. So you can see that we’ve stepped up now, filled in the significant position for the next three years. And so, what we haven’t changed as of now our position in terms of hedging forward. We’re watching the market and constantly evaluating what our position should be based on the current prices.
Michael Lapides - Goldman Sachs: By hedging the coal but not hedging the power you’re effectively making a quasi dark spread bet here?
Theodore F. Craver: To a certain extent we’ve had that view for some quarters now, because we felt strongly that coal was going to come down. That’s occurred. So we are focused heavily now on watching the forward market in terms of where it might go, and we haven’t made any decisions yet in terms of hedging forward.
Michael Lapides - Goldman Sachs: And with this coal did you match it with rail as well? And are those new rail contracts or were those existing rail contracts that got extended?
Theodore F. Craver: It’s the latter. It’s existing. So we have our, our rail transportation is locked for Powder River Basin or Midwest Gen through the end of 2011.
Michael Lapides - Goldman Sachs: But you haven’t extended that out?
Theodore F. Craver: We have not gone beyond 2011.
Operator: Your next question comes from Brian Chin – Citigroup.
Brian Chin – Citigroup: Piggybacking on Mike’s question on the gas forward futures contracts, just to be clear, you guys sold forward gas? Is that right? For ’09 and ‘010?
Theodore F. Craver: Yes. I’ll let Ron Litzinger address that.
Ronald L. Litzinger: Yes, we sold forward gas in the second quarter of ’09 this year and then sold some gas forward as well in 2010, though we intend to convert that over to power.
Brian Chin – Citigroup: So when I think about EMMT and the core EPS variance last year versus this year, and it was negative year-over-year, what I read from that is you guys probably made some money mark to market on selling forward gas in the second quarter. But it was more than offset by FTRs and CRRs that you were referencing earlier in Kit’s question? Is that right?
Ronald L. Litzinger: Go ahead. John Finneran is going to address that.
John P. Finneran: Yes, those transactions took place within the books of the assets. So those were hedges within the asset book, not proprietary trade.
Brian Chin – Citigroup: And then, I’m sorry, were you about to say something?
W. James Scilacci Jr.: No, I just wanted to re-emphasize. So EMMT, the numbers that we talked about, the $27 million through the year-to-date period only reflects the proprietary trading that went on, which is principally the FTR activity that we do. The actual hedging, the gas hedging we talked about earning power hedging coal, flows through either Midwest Gen or Homer City books. So we don’t mix that up.
Brian Chin – Citigroup: If you are selling forward gas to maintain a heat rate upside position, am I right in thinking that you believe that the current queue of wind, fire, power projects in the Midwest is already adequately reflected in the forward heat rates in the Midwest? Is that right?
W. James Scilacci Jr.: Well, this I Jim Scilacci again and Brian I think our view has been we haven’t seen significant wind penetration in our market in PJM. And it will be some time before I think there’s much of an impact. And our hedges that we’re talking about here are really for 2009 and a small piece or a sub piece for 2010, and I just don’t think that’s significant enough to effect that position.
Operator: Your next question comes from [Clark Erske] – State Street Global Markets.
[Clark Erske] – State Street Global Markets: Just wanted to ask about the agreement for wind turbines. Do you still have a cancellation right where you can cancel them outright in the future?
W. James Scilacci Jr.: This is Jim Scilacci. Each contract is different, depending upon where they are signed. There are escalation charges that go into these contracts. We do have the ability on one of the tranches to cancel our position, but we would forego our deposit which is a significant amount of money. So it goes into the overall calculus in how we’re thinking about how we treat these turbines. Let me back up on that. There are three separate tranches of wind turbines, so I don’t confuse you on this. And we are evaluating each of those tranches differently. And in our disclosures that we have, and as Ted mentioned, in two of the tranches we’ve entered into at least preliminary agreements and we’re working to turn into final to defer payments over time. We are still working with the third vendor on what we’re going to do, and we haven’t reached a conclusion on that yet.
[Clark Erske] – State Street Global Markets: The other question I had was on the environmental work you’re doing. Is there a timeframe when you have to decide what you’re going to do? And can you also quantify at some level what kind of savings you think you could realize versus a more traditional retrofit?
W. James Scilacci Jr.: Clark, the way we think about this, we’re still going through a process of testing the alternative compliance approach. The timeframes that are important that we are focused on, that there are dates out in the future when we need to meet first NOx at the end of 2011, 2012, then I think its January 1, 2012, then stops the following year. And the SOx starts at a level then steps down over time. So we are most focused right now on solving the NOx issue and then immediately on that trying to determine what we’re going to do with SO2. And part of the decision that we are going through, and it’s going to take some time, we’re trying to work and test all of these different approaches and how they work with our different boilers at Midwest Gen. And we’re also, to a certain degree, trading off capital expenditures for potentially higher O&M expenditures because you’re using chemicals to get the NOx and SOx and remove it from the slip screen. So the calculation and engineering study that’s really being done, and it’s going to take some time. So we’re going to need to work through it over a longer period of time, at least through this year, and we’ll be updating it quarterly as we go along.
[Clark Erske] – State Street Global Markets: Any number you can put on it as to what, I mean, assuming you’re successful with these approaches, what you might see?
W. James Scilacci Jr.: What I tried to give you is all the elements that go into it. We’re not prepared at this time to really suggest numbers. Let us finish the testing, and we will update numbers later.
[Clark Erske] – State Street Global Markets: You know you’ve still got the revolvers drawn, just wondering what the thinking is there. I mean the capital markets have kind of opened up and you guys don’t seem very cautious. Just wondering what, you know, what the thought is there.
W. James Scilacci Jr.: I think it’s been at Midwest Gen and EME because we’ve been in a cash conservation mode, that we’ve retained our drawings. It’s always an option for us to pay it down and for us, too, over, when we were downgraded it raised the cost to a certain degree at both EME and Midwest Gen. But I think our comfort level is fired by retaining the cash.
[Clark Erske] – State Street Global Markets: So for the foreseeable future you’re going to maintain that position?
W. James Scilacci Jr.: We could re-evaluate it. I don’t know for foreseeable future. I think we just are comfortable now where we are, having that cash on the balance sheet.
Operator: Your last question comes from Lasan Johong - RBC Capital Markets.
Lasan Johong - RBC Capital Markets: Is there a way to quantify the positive benefits of large quantities of wind coming online for EMG and EMMT? I’m assuming, you know, your capacity families will go through the roof, ancillary services payments will also go up. Volatility of [power] will also go up. And I’m assuming the increased after a decreased heat rates from wind coming online would be partially offset with actually increased heat rates during on peak hours, as you have to set aside a bunch of backup generation to cover the wind intermittency. Is there any way to quantify all of that?
W. James Scilacci Jr.: Well, I’ll tell you, that’s a good question. Southern California Edison spends an enormous amount of time thinking about what the impacts are of going from a 20% renewable penetration to the legislature is currently thinking about 33%. Because by adding all of that intermittent resources on the system, clearly it’s going to add a need for backup supplies. Fast start gas generation, upgrades to the transmission system and a host of other issues. We are working on that now with an independent system operator here in California to try and get our minds around what those costs might be. Clearly you’re going to see some hours, especially in the spring months and in the off peak hours where prices could get pretty low and potentially negative as you have an abundance of renewable power. And you have to shut everything down in order to keep the system in balance. So at this point in time I think it’s not to the point where we have numbers, and there are still many studies being conducted to try to get your arms around what the potential impacts would be. And I think from an Illinois perspective, we’re just not there yet in terms of the penetration of renewable power. To give you a good sense on what that might be, clearly if you have more renewable power it could drive down off peak prices, but Midwest Gen is a [Mid American] system and we make our money by being available on peak. That’s why availability is so key for this fleet.
Lasan Johong - RBC Capital Markets: So what you’re telling me is it’s still not discernible what the nettable impact will be.
W. James Scilacci Jr.: That’s correct. It’s going to take quite a bit of time and study to come up with better numbers.
Lasan Johong - RBC Capital Markets: Any chance you guys can give us kind of the price at which you locked in the coal?
Theodore F. Craver: I’m sorry, we don’t provide that.
Lasan Johong - RBC Capital Markets: One other question on the guidance. Just from my perspective it seems like the top end of the guidance is a little low, so I’m kind of wondering what it would take to bust the 320? From my perspective it doesn’t seem like it would take very much.
W. James Scilacci Jr.: I think we’re comfortable with what we’ve said today. We’ve reaffirmed the guidance and the mid-point, so I think I’ll just keep it right there. And I assume there’s a number of factors that could go on, but I don’t want to speculate beyond what we’ve already said.
Operator: At this time, I’ll turn it back to Mr. Cunningham for any additional or closing remarks.
Scott Cunningham: Thanks everyone for participating in the call. If you have any follow up questions please call us. Thanks. Bye bye.
Operator: Thank you. That does conclude today’s conference. Thank you for participating. You may now disconnect.